Operator: Good afternoon, and welcome to the Vyant Bio Second Quarter 2021 Conference Call and Webcast. Today, August 16, 2021, the company filed its quarterly report for the quarter ended June 30, 2021 on form 10-Q, issued a press release summarizing its results, and provided an overview of the activities in the second quarter. Today's discussion is being recorded and will be available for replay. A replay of today's webcast will be available on the Vyant Bio website following today's call. Alternatively, the link can be sent to you by contacting IR at vyantbio.com. All participants on this line will be in a listen-only mode during the presentation. The presentation will be followed by a question-and-answer session. At this time, I would now like to turn the conference over to Jay Roberts, Chief Executive Officer of Vyant Bio. Please go ahead, sir.
Jay Roberts: Thank you, operator, and thank you all for joining the Vyant Bio Investor Conference Call and Webcast for the Second Quarter of 2021. We're pleased to be having completed our first full quarter as Vyant Bio. Now, that the merger activities between the former Cancer Genetics and StemoniX are completed, we have directed our full focus on executing on our business plan. There's also a great pleasure to speak with you today and share our enthusiasm to give you some insight into how we envision the near-term future of Vyant Bio. Additionally, we're going to present the financial results of the second quarter ended June 30, 2021. On the call with me today is Vyant Bio’s Chief Financial Officer, Andy LaFrence. Following the safe harbor statement, I will provide a strategic overview and update on recent corporate developments and the vision ahead. Then Andy will take us through a brief financial update and discuss key accounting matters in the second quarter. I will make some closing remarks, and then we will open up the lines for questions. I'll now turn the call over to our CFO, Andy LaFrence.
Andy LaFrence: Thank you, Jay, and welcome to all. We'd like to remind everyone that various comments about future expectations, plans and prospects constitute forward-looking statements for purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. Vyant Bio cautions that these forward-looking statements are subject to risks and uncertainties that may cause our actual results to differ materially from those indicated, including the risks described in the company's filings with the SEC. Any forward-looking statements made on this call speak only as of today's date, Monday, August 16, 2021, and Vyant Bio does not intend to update any of these forward-looking statements to reflect events or circumstances that would occur after today's date. This conference call is also being recorded for audio rebroadcast on the Vyant Bio’s website at www.vyantbio.com. With that, I would like to turn the call back over to Jay Roberts. Jay?
Jay Roberts: Thanks, Andy. We'll begin the presentation, I think it's important to remind everyone that the second quarter was the first full quarter our company has operated as the Vyant Bio. The Vyant Bio integration has gone smoothly and operations are fully running. the Vyant Bio is an emerging biotech technology company focused on discovering novel therapeutics and offering future partners de-risked clinical programs. Efficacy, efficiency, cost savings and greater speed to market within the drug discovery industry. We had a very productive quarter and made huge strides in several areas in the short period, since we last reported. Early in the second quarter, we received an issued US Patent for the use of Spheroids and Organoids using the screening assay for drug discovery, an important addition to our developing IP portfolio. We announced a strategic collaboration with Ordaōs Bio and Cellaria to emerge in privately held companies that fit nicely into our strategic plan to emerge in privately held companies that fit nicely into our strategic plan to supplement our data science and technology teams and unique avatar clinical trials with primary patient derived cell lines. We also completed a large screening of AI generated novel compounds for Rett Syndrome, which is in the iteration stages now. Also, in the second quarter, we elevated a new in vivo tox screening disease model, progress compounds screening programs for neurodegenerative disorders, begin the development of an AI based molecule and biologic creation for in vitro testing. So, needless to say, I'm incredibly proud of our team, has done so much in so little time. I’d like to your attention on a couple of these accomplishments. First, obtaining a key patent and second, signing the collaboration agreement. On July 13, Our wholly owned subsidiary, StemoniX was issued a US patent, which covers a unique approach to apply human induced Pluripotent Stem Cells or iPSCs is a powerful tool to illuminate the biology of complex human cell types, such as those at the central nervous system, one of our two primary focus areas, with the other focus area being oncology. We believe that drug discovery needs to progressively evolve, given that the traditional methods and models for predicting safe and effective drugs have underperformed. This is about evidence by the billions of dollars and years of time it takes to bring novel drugs to market. The issuance of this patent continues to provide us with increasing focus for our business on converging an impactful approach to drug discovery. With data science and biology driven technologies at the core, with engineering disciplines and regulatory expertise. On the strategic side, on April 22, Vyant Bio entered into a collaborative partnership with Ordaōs Bio and Cellaria to introduce a process to rapidly design -- redesign and optimize biological drug candidates, using artificial intelligence, and in vitro patient cell based avatar clinical trials. The goal of the collaboration is not only to design candidates that are likely to be successful in clinical trials, but have also been assessed for efficacy in numerous patients specific, cell based models, before even making it to the clinic The relationship will continue to progress first with data that defines binding affinity and function, then a subsequent focus on efficacy results is the near term milestone. We look to accomplish these goals in the next four to five months, and we expect the progress to eventually result in the identification of a lead therapeutic. The collaboration capitalizes on the unique capabilities of each company to design, manufacture and test small protein therapeutics that target multiple biomarkers, derived from whole genome sequencing of patient populations. Using proprietary artificial intelligence, Ordaōs is generating in-silico protein sequences, designed to bind specific disease targets. These sequences optimize around binding function and performance, serve as a blueprint for the collaborative teams' experts in, in-vitro and in-vivo clinical drug discovery to produce the protein and rapidly iterate the structure, using a highly efficient expression system. Using Cellaria’s patient specific cell model cohorts, the purified protein will be critically evaluated for target binding and further optimize to improve performance across an array of disease specific genetic biomarker expressing cells. BIOS objective will be to deliver regulatory readiness and maximally de risk drug candidate. The combined solution will provide data and human-based insights, not usually available until after a costly clinical trial. Disease indications of high importance to us initially will be focused in oncology. As the project evolves, the therapeutic derisking strategy will further incorporate the human-based biology and analytical software from our wholly-owned subsidiaries StemoniX. StemoniX will be leading data science and scientific teams. We look forward to keeping our shareholders and others in the industry updated as we continue our progress. Now, let me turn the call over to Andy for a financial update. Andy?
Andy LaFrence: Thank you, Jay. Hello everyone and thank you again for joining and call. Today I will review our balance sheet as of June 30th, 2021 and our financial results for the second quarter of 2021. As StemoniX was deemed to have acquired Cancer Genetics for accounting purposes and the merger closed on March 30th, 2021, the company's second quarter 2021 post-merger financial results are compared with the second quarter based solely on the StemoniX operations. Therefore, the US GAAP reporting for the company does not include the public company cost and the vivoPharm operations for substantially all the first quarter of 2021, as well as the 2020 three and six-month period ended June 30th, 2020. Given the differences in pre and post-merger operations and cost structure, I'm going to report three items in my report. First, Q2 2021 GAAP results; second, expectations regarding our ongoing research and development spending, SG&A, and public company cost structure; and third, total revenues for the three and six months ended June 30th, 2021 as compared with the same 2020 period on an actual and pro forma basis. First, let me review the results for the second quarter of 2021. Cash and cash equivalents totaled $26.5 million as of June 30th, 2021, which provides this cash runway into the first half of 2023. Operationally, for the three months ended June 30th, 2021, total revenues were $1.9 million, cost of goods sold service aggregated $1 million, resulting in a cost of goods sold of 56% of service revenues. Costs of goods sold product aggregated $345,000, resulting in a cost of goods sold margin deficit of $229,000. As we've mentioned previously, our product manufacturing capabilities currently have excess capacity to support future growth. Research and development expenses were $910,000 for the three months ended June 30th; selling, general, and administrative expenses were $3.7 million. SG&A expenses include a public company cost of $2.3 million, of which $620,000 are non-cash expenses for stock-based compensation, amortization, and depreciation. Second, regarding our ongoing spending, we expect research and development expenses to increase in the second half of 2021 to at least $1.5 million and up to $2 million per quarter. SG&A costs are not expected to change materially in the second half of 2021, however, such costs include approximately $650,000 per quarter in non-cash expenses related to depreciation, amortization, and stock-based compensation, as well as approximately $200,000 per quarter in prepaid insurance amortization. Finally, while the Company executes its drug development strategy for long-term growth, the Company currently generates revenue from its vivoPharm and StemoniX subsidiaries. On a an actual basis, revenues were $1.9 million and $2.2 million for the three and six-months ended June 30, 2021 respectively, as compared with $99,257 for the respective prior-year periods. To provide deeper insights to the revenue trends on a pro forma basis and assuming the merger occurred on January 1, 2020, pro forma revenues for the three and six-months ended June 30th 2021 were $1.9 million and $3.8 million respectively, as compared with $1.5 million, and $3.1 million in the prior year respected periods. On a pro forma basis, revenues increased by 26% and 21% in the current year three and six-month periods, as compared with the same prior year periods. The pro forma information is presented solely for informational purposes, and is not necessarily indicative of the combined results of operations or financial position that might have been achieved for the periods or dates indicated, nor is it necessary indicative of future results of the company. I will close for now, and hand the presentation back over to Jay Roberts for closing remarks. Jay?
Jay Roberts: Thanks, Andy. As we come to the final part of this presentation, I'd like to conclude with the following takeaways. First, I'd like to reiterate how pleased we are now that the merger with StemoniX has been completed. We're focused on rapidly identifying small and large molecule therapeutics to treat central nervous system and oncology related disorders. We had a very productive quarter, which we strengthened our intellectual property, meaningfully progress our pipeline inside an exciting collaborative partnership that build long-term shareholder value. We continue to be actively looking at new out licensing and partnership opportunities. With world-class capabilities in data science, biological and chemical sciences, engineering and regulatory affairs, we are well positioned to advance internal and partner programs and continue to forge an innovative pathway for drug discovery that could potentially result in higher quality and faster drug development. With that, I invite Andy LaFrence to join me as we open up the line for Q&A.
Operator: [Operator Instructions] We'll take our first question from Robert LeBoyer with Noble Capital. Please go ahead.
Robert LeBoyer: Hi, and congratulations on all the progress that you've made in the past quarter. One of the questions that I had was, how you see the business developing between products and services, and what the future of the company's business development might look like?
Jay Roberts: Thanks for joining, great to hear from you, and Bob, thank you so much. So, as we think about the business, relative to products and services we -- as you know we have a legacy service business that both companies when we merged together was able to combine through some key integration activities and we're going forward to continue to provide access to those same services and products to our existing customers and to new customers that we do see that, that part of our business will continue to grow. But we – with that we use that really as a opportunity for us to continue to learn to perfect our capability set with the full intention to be able to recognize that those capabilities lead us to drive deeper partnerships with biotech and pharma partners. And increase our capabilities that ultimately driving the speed in which we can identify novel therapeutic compounds into categories that were focused on.
Robert LeBoyer: Okay, great. And do you see any -- the idea of the service business versus the product business, any split in terms of the emphasis of the company?
Jay Roberts: So the focus is really on our drug discovery side of our business. And so, products and services get combined as a solution set. And we've continued to be progressing those types of initiatives and we think that, that'll allow us to sort of expand the footprint that we have within existing customers. We think about the -- you know the real focus in terms of the future of the company. It certainly is focused on our R&D efforts to discover and identify novel therapeutics and that's a big part of -- how we'll continue to make key investments in the company going forward.
Robert LeBoyer: Okay great, thank you very much.
Operator: We'll take our next question from Ben Haynor with Alliance Global Partners. Please go ahead.
Ben Haynor: Good afternoon, gentlemen. Thanks for taking the questions. First off for me and I apologize if I missed a little bit of the color commentary here. But it's not often that you see a newly issued patent as kind of the first highlight in a quarterly press release. Just kind of considering that, apparently it would seem you guys really think of that patent as kind of foundational or a very important piece of IPSC. It also sounds like it's fairly broad. Are there other opportunities -- I mean, are there opportunities to that you think about licensing some of that technology, are there others that might be infringing upon that, do you keep it to yourself? What’s kind of the strategy there and you know maybe a little bit more color on the depend itself for the IPSC use?
Jay Roberts: Yeah. Thanks Ben. Thanks very much so. We think it's important, it was the reason that we put it at the top and you know we do recognize that it's at the core of some unique patient derived IPSC use, cell based patient -- cell based assays and that's a big part we think of being able to rapidly iterate as we move through the drug discovery process. And some of the methodology is that the company had created, we think actually are incredibly unique in terms of how we approach it. So, we do think that it's an important aspect of how we use this capability for drug discovery. And we also think, obviously there's, there is some amount of use of other types of steroid or organoid technologies for purposes of drug screening. We think that this is going to give us a strong position when it comes to out licensing access to our disease models, which is a big part of our strategy. So we think that from, you know, clearly from just a defensive perspective, we think it's important, and as we evaluate the landscape as we kind of look across the globe in terms of other potential infringers we are keen on that front as well. And we have a -- we've engaged legal counsel to help us to support some of those efforts and we're doing a pretty clear, sort of careful landscape review as we speak, now that the patent has been issued.
Ben Haynor: Okay. So really it's an enabler of the kind of rapid feedback loop in designing this compound – its less of a patent show type of asset, although there may be some folks that you might be able to sell the license to.
Jay Roberts: Right. Yes. We think -- you know obviously it was put together fairly broad -- by intention, and we think the sort of the application, clearly it's down the middle for us in terms of our strategic plan. And we'll continue to be very important in terms of how we further develop our capabilities. And obviously, we want to continue to protect the investments that we've made and we fully intend to continue to invest in the development of commercialization of other similar kinds of disease models using the same kind of platform. I mean, frankly the -- the opportunities are endless. If you think about the numbers of diseases, even in just simply across CNS and oncology, gives us many, many shots on goal. So we think that it is center and central to our strategic plan into our future.
Ben Haynor: Okay. So that's definitely helpful. And then, when you talk about the avatar clinical trials. You know, it's the right way to think about it is you're looking at groups with, say, certain genetic mutations, what -- or is that something that you can kind of take down to the individual patient level, or is there a you know, kind of, an example you could say like -- a patient with ABC or XYZ mutation, we build an avatar of that and then, kind of, use that for our screening and development and identification of these potential therapeutics. 
Jay Roberts: Yes. So the tumor cell collection process is that the individual patient level. So it allows it -- and why that's important? It gives us a broad look at multiple sources of data about a specific patient. And so as we – as we bring those tumors into the in vitro to the lab environment. We're also bringing, a meaningful amount of genomic and genetic-related data that’s centric to the patient that allows our AI and machine learning systems to be able to continue to get -- getting better insights and giving us better data as we do the design in this particular cases. We further iterate on the design of very specific proteins that are intended to create this binding capability to this specific growth of tumors within this sort of test environment.
Ben Haynor: And then how do you ensure if it's at an individual patient level that you're not going to take a drug through the FDA, just on the basis of an individual patient. Do you have a sense of how many similar patients that you need to identify or kind of any…?
Jay Roberts: So because that you’re going to expecting that we're going to rely upon. That's okay. No, we’re not going to rely upon that data, but there's a population is a patient cohort population, so it's not just one individual patient. So we've got numerous patient cells that are coming into this particular iteration of the research. And so it does give us again better insight as you cut across the more number of cohorts that are in the population base. Now ultimately it's helpful to us to be able to use the insight in the data to be able to continue to do the iteration of the design of the protein. And that's really it's purpose. Obviously, we'll be taking once we've identified the lead candidate, we'll be taking it through a very typical kind of optimization, processes and obviously manufacturing and other and then ultimately into pre-clinical studies that allow us to continue to check through check the boxes on both safety and efficacy in animal clinical trials as we know put IND packages together to get to the regulatory community.
Ben Haynor: Okay. That makes a lot of sense. That's all I have. Thanks for taking the question, gentlemen.
Jay Roberts: Ben, thank you.
Operator: And we'll pass the floor over to Andy LaFrence for questions that have come in over the web.
Andy LaFrence: Thank you very much, Karen. We did have a question came in over the web related to the breakout of our services revenue between the historical vivoPharm business and StemoniX business and I think one of the purposeful things that we have done here is trying to view that as an integrated reporting process between the two especially as we go to market with integration of the organoids with the vivoPharm business and some of the joint projects we are doing internally to provide, I would say, expanded service offerings for that segment of the business. So as we look forward, what I would say is, we were not playing on providing separate disclosure. Other than what I can tell you that, obviously, majority of the increase in the overall services revenue came from -- year-over-year came from the people farm business. We also got a second question that came in here, providing some color on the progress and the anticipated timeframe for any advice to agreements associated with either our disease models, or drugs? Jay, do you want to take that one?
Jay Roberts: Yeah, I think, the way to think about it is, we're heading into multiple pilot programs at this point, and we think that we had -- gives us a starting point but we've been actively engaged in discussions with potential licensing partners. Now for short period of time post the merger, and I'd say that we're making really good progress, obviously, our intention would be, to the extent that we get to a signed agreement, of course, we'll be communicating that very clearly to investors and to our shareholders. So I think the answer really is stay tuned, we're making good progress, part of it was making sure that we had our fundamentals right that we had our feet underneath us post-merger, and we've accomplished all of that quite successfully. In fact, in the second quarter and as we head into the middle of the third quarter, we're very much heads down on what we think is the next most logical step, it's important to our strategy.
Operator: [Operator Instructions] Andy, are there any more questions over the web.
Andy LaFrence: Operator, it looks like that's it. So I think we can move forward.
Jay Roberts: We don’t see anything at this point in time.
Operator: And we have no one else queued up over the phone.
Andy LaFrence: We do not.
Jay Roberts: Okay, well, so thank you operator and thank you all for joining the call today. We're very happy with our progress so far as an emerging global drug discovery company that is rapidly identifying small and large molecule therapeutics to treat CNS and oncology related diseases. We look forward to keeping everyone informed of our progress along the way. Thanks very much for joining the call today and have a great evening,
Operator: Ladies and gentlemen, this does conclude today's teleconference. We thank you again for your participation. You may disconnect your lines at this time, and have a great day.